Operator: Good morning, and welcome to H&E Equipment Services First Quarter 2024 Earnings Conference Call. Please note today's call is being recorded. At this time, I would like to turn the call over to Mr. Jeff Chastain, Vice President of Investor Relations. Please go ahead. 
Jeff Chastain: Good morning, and welcome to a review of First Quarter 2024 Financial Performance. Your participation on today's call is appreciated, and we thank you for your interest in H&E. A press release reviewing our results for the quarter was issued earlier today and can be found along with all supporting statements and schedules on the H&E website, www.he-equipment.com. A slide presentation will accompany today's discussion and is also posted on our website under the Investor Relations tab, and Events and Presentations. As noted on Slide 2, I'm joined today by: Brad Barber, Chief Executive Officer; John Engquist, President and Chief Operating Officer; and Leslie Magee, Chief Financial Officer and Corporate Secretary. Brad will begin this morning's review. But before I turn the call over to him, please proceed to Slide 3 as I remind you that today's call contains forward-looking statements within the meaning of the Federal Securities laws. Statements about our beliefs and expectations and statements containing words such as may, could, believe, expect, anticipate and similar expressions constitute forward-looking statements. Forward-looking statements involve known and unknown risks and uncertainties, which could cause actual results to differ materially from those contained in any forward-looking statement. A summary of these uncertainties is included in the safe harbor statement contained in the company's slide presentation for today's call, and includes the risks described in the Risk Factors in the company's annual report on Form 10-K and other periodic reports. Investors, potential investors and other listeners are urged to consider these factors carefully in evaluating the forward-looking statements and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after the date of this conference call. Also, we are referencing non-GAAP financial measures during today's call. You will find the required supplemental disclosure for these measures, including the most directly comparable GAAP measure and an associated reconciliation as supporting schedules to our press release and in the appendix to today's presentation materials. That completes our preliminary details, so I'll now turn the call over to Brad Barber, Chief Executive Officer of H&E. 
Bradley W. Barber: Thank you, Jeff. Good morning. Welcome to our review of First Quarter 2024 Financial Results. We appreciate your participation on today's call. Please proceed to Slide 4. First quarter financial results included year-over-year double-digit growth across our key financial metrics with performance once again supported by a meaningful expansion in our branch network, rental fleet and improvement in rental rates. The degree of year-over-year financial improvement slowed from the pace of recent quarters, due in part to a moderation in some construction projects. Additionally, harsh winter weather and branch expansion impeded the physical utilization in the first quarter. Despite the slower anticipated start, revenues from total equipment rentals completed the 12th consecutive quarter of year-over-year double-digit growth. Sales of rental equipment remained elevated, and we adjusted our fleet management objectives in the face of changing market conditions and persistent healthy demand for equipment. A more detailed explanation will follow on our key financial metrics and the performance of our rental operations. Also, I will provide updated observations on the equipment rental industry and our view of prospects and opportunities for the remainder of the year. Finally, and before I turn the call over to Leslie for a review of our financial performance, I will bring you up to date on our 2024 growth objectives. Slide 6, please. A quick review of our key financial metrics in the quarter reveal year-over-year achievement in most measures. For example, total revenues grew 15.2%, supported by strong growth in total equipment rental and sale of rental equipment. Revenues from total equipment rental improved 12.7%, led by steady expansion initiatives addressing both branch and rental fleet growth and further appreciation in rental rates. Sales of rental equipment increased 49.8% on a year-over-year basis. Lower physical utilization in the quarter, which averaged 63.6% prompted us to modify our first quarter fleet management strategy and leverage the ongoing strength in the market for used equipment. Consequently, we achieved a near record margins on the equipment we sold, which had an average age of 72 months. Finally, adjusted EBITDA in the quarter of $161.7 million was 13.1% better than the year ago result with a margin of 43.6%. On a trailing 12-month basis ending March 31, 2024, adjusted EBITDA totaled $706.9 million, up 21.7% compared to the trailing 12 months ending March 31, 2023. Over the same period, margins improved 170 basis points to 46.6% compared to 44.9%, respectively. The improvement is indicative of our successful expansion efforts. Slide 7, please. Moving to a discussion of our rental performance. Revenues in the quarter improved 12.8% compared to the year ago quarter with stable gross margins of 48.5% compared to 48.4% in the first quarter of 2023. On a trailing 12-month basis ending March 31, 2024, rental revenues grew 19.8% compared to the trailing 12 months ending March 31, 2023, which again demonstrates the positive contribution from our expansion efforts. Our growth initiatives were a meaningful contributor to the year-over-year improvement. We added 20 new branches over this time frame, including 15 warm start locations and 5 locations added through pursuit of acquisitions. Also, we grew our rental fleet 15.7% or $383 million, resulting in a fleet value as measured by original equipment cost of just over $2.8 billion on March 31, 2024. Our focus on growth will continue in 2024, as I will explain in a moment. Rental rates in the quarter improved 2.9% on a year-over-year basis, adding to the consistent rate appreciation seen since 2022. On a sequential basis, rates in the first quarter experienced a slight decline of 0.2%. Although a slowing rate of change is expected in 2024, we continue to benefit from the gains achieved in rental rates over the past 24 months and have now produced better than a 17% increase in rates through the first quarter of 2024. Physical fleet utilization in the first quarter averaged 63.6% or a year-over-year decline of 370 basis points. As previously mentioned, the decrease was attributed to lower-than-anticipated construction activity as well as project delays resulting from reoccurring unfavorable weather conditions with the work interruptions most pronounced across our Western operations. Finally, dollar utilization in the quarter was 37% compared to 38.6% in the first quarter of 2023. The 160 basis point reduction was due primarily to lower physical utilization in the quarter, which included a modest headwind from the additional 15 local -- warm start locations and 5 acquired branches over the last 12 months. Next, I want to discuss the industry trends that we have observed through the first 4 months of the year and how these evolving developments are expected to weigh on our expectations for the remainder of the year. Slide 8, please. Our industry has enjoyed a phenomenal period of growth over the last 2 years, highlighted by rapid expansion in nonresidential and industrial construction projects. The increase in construction activity has been supplemented by numerous federal programs in support of reshoring efforts, green energy initiatives and infrastructure improvements, leading to a prolonged period of robust industry fundamentals. This highly attractive business environment is not ending, but appears in the interim to be assuming a normal footing or transition to moderating growth levels compared to the exceptional rate of growth in construction spending and strong business dynamics experienced over the last 24 months. We believe the easing in the progression of construction spending is in part the result of a higher for longer interest rate environment and generally tightening lending standards. This higher interest rate environment, together with the ongoing recovery in our industry supply chain has led to greater supply of rental equipment. Even though nonresidential and industrial project backlogs remain healthy, the rate of new projects to our has slowed in early 2024. We note several factors that are expected to be instrumental in maintaining or possibly improving upon an environment that at present, is increasingly defined as one possessing moderate growth prospects and steady industry fundamentals. These factors include continued escalation of mega projects and include the construction of data centers, semiconductor fabrication facilities, LNG export terminals and numerous green energy projects. As we've noted previously, mega projects typically require multiple years to complete and consume large quantities of equipment for extended periods of time. Also, we have observed an increase in the number of infrastructure projects, including road and highway construction and repairs and construction of transportation facilities. We expect to experience growth in infrastructure projects into the future. Finally, we note favorable trends in rental penetration and the steady growth in construction employment. These critical factors reinforce nonresidential construction and industrial project activity and serve as the foundation in support of elevated long-term industry growth. Before I hand the call over to Leslie, I want to close with an update on our growth initiatives, including investment in our rental fleet and further branch expansion. On to Slide 9, please. Considering my updated thoughts on the industry, we have reduced our 2024 guidance for gross fleet investment with the steadying of industry fundamentals justifying a more balanced approach to capital spending over the year. Growth capital investment in our fleet is now expected to range from $350 million to $400 million, down from our initial guidance for 2024 of $450 million to $500 million. Our revised spending follows a more than 60% increase in our rental fleet OEC over the last 36 months ending March 31, 2024. In addition to maintaining one of the industry's youngest fleets with an average age of 39.9 months, our focus on fleet growth has resulted in a superior fleet mix to address the needs of a growing base of customers. Also, with the availability of equipment for manufacturers returning to normal, we could quickly increase our spending range should industry demand accelerate. The revised spending range will adequately address the planned growth in 2024 across our branch network, which remains at 12 to 15 new locations as we continue to demonstrate strong execution from our accelerated branch expansion strategy. Also, additional branch growth in 2024 could be achieved through the acquisition of attractive rental operations as demonstrated by the acquisition of Precision Rentals, which closed in the first week of 2024 and the recently announced pending acquisition of 4 locations in the State of Montana. Following the expected close of the latest transaction in the second quarter of 2024, H&E will operate 145 branches across 30 states, including 8 branch additions since the close of 2023. To conclude, we remain in a business environment with encouraging prospects. Our industry is expected to demonstrate further growth in 2024, but at a slower pace than we have become accustomed to over the last 24 months. According to Dodge Construction Network, construction starts are projected to improve 7% in 2024, while U.S. equipment rental revenue is expected to grow nearly 8% as reported by the American Rental Association. As the equipment rental industry goes through a period of transition in 2024, our significant expansion over the last 36 months will undoubtedly prove beneficial. In addition to the previously mentioned growth in our fleet, we've expanded our branch network more than 40% over the same 36-month period on a continued operations basis, building a larger presence in key regions of the U.S., which possess ongoing growth opportunities. Now more than ever, H&E is better positioned to capture developing business opportunities while remaining focused on future growth and improving financial performance. Now on to Slide 10, and I'll turn the call over to Leslie, who will provide a review of our first quarter financial performance. Leslie? 
Leslie Magee: Thank you, Brad. Good morning, and welcome, everyone. I'll begin this morning with Slide 11 and a review of first quarter revenues, gross profit and profit margins. Total revenues in the first quarter were $371.4 million, a $48.9 million improvement compared to the first quarter of 2023. Higher revenues from rentals and sales of rental equipment were largely responsible for the 15.2% increase. Revenues from rentals increased 12.8% to $261.7 million compared to $232.1 million in the same quarter of 2023. Our expansion initiatives once again proved significant in stimulating further revenue growth. With the fleet original equipment cost of over $2.8 billion at the close of the first quarter, we grew our rental fleet $383 million or 15.7% compared to our OEC on March 31, 2023, while expanding our network of branches 17% over the same period. Also, average rental rates were 2.9% ahead of rates in the first quarter of 2023. On a sequential basis, rates in the first quarter declined 0.2%. Sales of rental equipment totaled $48.1 million in the first quarter, up 49.8% on a year-over-year basis. As Brad explained earlier, with utilization in the quarter, failing to meet our expectations, we opportunistically sold equipment into a healthy used equipment market where margins remained elevated. Sales of new equipment improved to $10.4 million in the first quarter or 33.2% ahead of the year ago results. The increase was due primarily to higher sales of material handling and aerial work platforms. Gross profit totaled $164.9 million in the quarter, up $23.5 million or 16.6% compared to the year ago quarter. Gross margins of 44.4% were up modestly compared to 43.8% in the first quarter of 2023, with the increase largely the result of higher gross margins on the sale of rental equipment and a favorable revenue mix. Total equipment rental margins finished the quarter at 43.3% compared to 43.6% in the year ago quarter, while rental margins were essentially unchanged at 48.5% compared to 48.4% over the same period of comparison. Finally, margins on sales of rental equipment remained at near record levels in the quarter at 62.9% compared to 58.6% in the year ago quarter, while margins on new equipment sales improved to 17% compared to 13.3% over the same period of comparison. Slide 12, please. Income from operations totaled $52 million in the first quarter compared to $46.7 million in the first quarter of 2023. The 11.4% increase resulted in a margin of 14% compared to 14.5% in the year-ago quarter, with the lower margin due to increased SG&A expense, partially offset by higher gross margins on sales of rental equipment and favorable revenue mix. Proceed to Slide 13, please. Net income in the first quarter totaled $25.9 million are mostly steady compared to $25.7 million in the first quarter of 2023. Diluted net income per share in the first quarter was $0.71, unchanged from the year ago quarter. Our effective income tax rate in the first quarter was 26.5% compared to 26.1% for the same quarter in 2023. Proceed to Slide 14, please. Adjusted EBITDA in the first quarter improved 13.1% to $161.7 million compared to $143 million in the year ago quarter. Higher SG&A expense and lower gross margins on total equipment rental and on parts, service and others led to our first quarter adjusted EBITDA margin of 43.6%, or modestly below 44.4% reported in the year ago quarter. Next, Slide 15, please. SG&A expense in the first quarter increased $18.9 million to $114.3 million compared to $95.3 million in the year ago quarter. The higher expenses were attributable to increased employee salaries, wages, payroll taxes and other benefits; also in considering our steady growth initiatives, higher expenses relating to facilities, depreciation and amortization and professional fees contributed to the increase in the quarter. First quarter 2024 expenses were 30.8% of revenues compared to 29.6% in the year ago quarter. And when compared to the previous quarter in 2023, first quarter 2024 SG&A expense included $10 million of costs associated with our branch expansion and acquisition activities with 20 new locations added over the period. Slide 16, please. Gross rental fleet capital expenditures in the first quarter, including noncash transfers from inventory, totaled $74.4 million. Net rental fleet capital expenditures were $26.6 million. In addition, gross PP&E CapEx in the quarter was $39.1 million or $37.5 million net of sales of PP&E. Net cash provided by operating activities totaled $83.4 million in the first quarter compared to $43.2 million in the year ago quarter. Free cash flow used in the quarter was $58.9 million compared to free cash flow used in the year ago quarter of $13.2 million. Excluding the acquisition, adjusted free cash flow in the first quarter of 2024 was $62.6 million. Moving to Slide 17, please. Based on original equipment cost, our average fleet size on March 31, 2024, was just over $2.8 billion, representing growth of $383 million or 15.7% compared to the OEC on March 31, 2023. We closed the first quarter with an average fleet age of 39.9 months compared to an industry average fleet age of 48.9 months. Average dollar utilization in the quarter was 37% compared to 38.6% in the year ago quarter as normalized industry fundamentals, including lower time utilization contributed to the decline in the quarter. Slide 18, please. Our balance sheet metrics remained strong with a net leverage measure on March 31, 2024, of 2.1x, unchanged from the measure at December 31, 2023, and the year ago quarter in 2023. The measure remains well within our target range of 2x to 3x, and we have no maturities before December 2028 on our $1.25 billion of senior unsecured notes. Slide 19, please. Finally, a review of our liquidity profile indicates liquidity of $492.1 million on March 31, 2024, while excess availability under the ABL facility closed the first quarter at approximately $1.7 billion compared to $1.8 billion on December 31, 2023; and a $1.5 billion on March 31, 2023. The -- our minimum availability as defined by the ABL agreement remains $75 million with excess availability of $1.7 billion, we continue to have no covenant concerns. Finally, we paid our regular quarterly dividend of $0.275 per share of common stock in the first quarter of 2024. While dividends are subject to Board approval, it is our intent to continue to pay the dividend. Slide 20, please. In summary, our financial performance in the first quarter revealed healthy year-over-year improvement in several important financial metrics. Despite the more subdued level of business activity, we accomplished double-digit growth in rental revenues, consolidated gross profit and adjusted EBITDA. We Also, our rental margins and margins on consolidated gross profit and adjusted EBITDA were stable in the quarter and remained at levels that were difficult to achieve less than 3 years ago, which was before our transition to a pure rental focus. This progression to a pure rental business model has effectively laid the foundation for improved financial performance through the cycle with enhanced prospects for higher revenue generation and better margin performance. As Brad explained earlier, and I'll reiterate, encouraging industry prospects remain evident in 2024, and H&E is better positioned to capture emerging opportunities as we leverage our more robust presence in the U.S. Over the past 36 months, we have grown our branch network more than 40%, including 17% over the last 12 months and further growth ambitions for 2024 remain in tact. We expect to imminently close our third acquisition in 5 months, increasing our branch network to 145 locations across 30 states, while intensifying our exposure to planned and ongoing nonresidential and industrial project activity. Our decision to further curtail gross fleet investment in 2024 is not expected to hinder our expansion objectives, but will enhance our ability to fine-tune utilization across our fleet, while improving the prospects for meaningful free cash flow generation during the year. Operator, we are now ready to begin the Q&A period. Please provide instructions. 
Operator: [Operator Instructions] And our first question comes from Sherif El-Sabbahy from Bank of America. 
Sherif El-Sabbahy: I guess, just thinking about maybe what you're seeing in the last few weeks or April that's changed, maybe a bit more. You've mentioned starts have come down and the starts data has weakened. But just looking at the size of the CapEx pullback versus the size of the pullback in starts, could you kind of give a bit more color on maybe what's changed a bit more on top of that in the last few weeks? 
Bradley W. Barber: Sure. Absolutely. A couple of things. As we sit here today, our utilization started the week just north of 67%. So we -- our current utilization is running well ahead of our first quarter average positive. It's been incremental. It was a little slower to come, but it has certainly started to come on, and we're pleased with that level and expect that to continue to improve basically on a weekly basis, going forward. So that's 1 update. As far as CapEx, I think it's important to context. On our last quarterly call, I spoke about Q4 and really last year, late last year, kind of a pull-forward effect on the volume of CapEx. Reviewing the percent of capital we deployed last year as compared to our OEC our starting point, we deployed gross capital north of 30% last year. The net effect was something, I think, just north of 25%. And when I compare that against our peer group, we have grown, we have spent more than the comparative group. And so then we flip over to your question today, the $350 million to $400 million, how does that compare to what we're going to spend this year compared to what we're seeing in the industry; and we think it's very similar. So if you were to ask me, am I disappointed that we're taking CapEx down a little bit? I'm disappointed that the pace of improvement in growth is moderating, but we're going to have an outstanding year here. I think that the CapEx reduction is prudent. As we've spoken before, our ability to leverage and run meaningfully higher utilization of what we're doing today and have that flow through really crank up for us is positive. And so my prevailing comments, our utilizations improved quite a bit since that Q1 average. We expect it to continue to do so. Rates are flattish, as you saw. We expect them to continue to be somewhere flattish, maybe a bias for upside. But no brand improvement. Bearing in mind that we've improved rental rates more than 17% in the last 2 years that we're carrying with us. And our CapEx spend as a percent of our fleet is probably right in line with what you would see with most competitors. 
Sherif El-Sabbahy: I see. And so you feel post the cut here and kind of what other peers have spoken to that largely in line, is how you would feel about it? 
Bradley W. Barber: I do. I think that math would pencil out to say that those ratios are -- would be in line. Yes, sir. 
Operator: And our next question comes from Alex Rygiel from B. Riley FBR. 
Alexander Rygiel: First, you had record margins on your equipment sold. It seems to contradict kind of utilization a bit. So I suspect maybe you were strategically selling high-value rental equipment, but maybe you can comment on that a little bit more? 
Bradley W. Barber: Sure. I think what's -- I think the thing that speaks most clearly to that, Alex, is the age of that fleet 72 months old, which has been kind of a staple for us. We've spoken many times about our transition to pure-play rental, stated differently as we moved away from distribution, we have greater control over the age of what we're selling at our rental fleet, and we drive that based off of pricing. So the used equipment markets remain high. I wouldn't say we're pulling forward sales, I would say we opportunistically continue to sell the older portions of our fleet and did so at outstanding margins. So there's nothing about selecting the items other than they're the items that were nearing or were ready for retirement in normal course of business. And we saw the opportunity to pull -- sell a little bit more than we probably anticipated a quarter ago. 
Alexander Rygiel: And then secondly, can you talk a bit about thoughts on capital allocation between growth CapEx and maybe share repurchase or dividends? 
Bradley W. Barber: Yes. Well, as we've committed many times, and we'll continue to do so, we're dedicated to our dividend. Obviously, at our level of projected CapEx and our performance that's only going to continue to improve as the year goes forward, we're going to produce a very nice amount of free cash flow. And we're always going to consider including share repurchases. At this point in time, we're going to continue to remain focused. We've got 2 acquisitions: 1, we've perfected; 1, we're on the cusp of perfecting. And I'll tell you our outlook for additional opportunities to acquire small businesses that meet our criteria, we remain optimistic. So we're going to stick with what we have been doing. I wouldn't want to indicate that we're going to entertain share repurchases, but it's always on the table for discussion. 
Operator: And our next question comes from Brian Brophy from Stifel. 
Brian Brophy: Yes. Just wondering if there's any particular end markets to call out or geographic regions as it relates to this softer new project activity you guys talked about in your remarks? 
John Engquist: Yes, Brian, this is John. So as far as the large projects, we have better visibility today than what we had 90 days ago, and we're happy with what we're seeing, how these are rolling out; particular strength with the data centers, some of the nonbuilding infrastructure-related projects, road, bridges, airports. We're seeing dollars flow there. So we're really starting to see an uptick. As far as energy goes, the renewables, right? Solar has been a big beneficiary for us and it will continue to be. Also wind and of course, just general industrial as it relates to LNG and some of the other petrochem sectors, it's strong. 
Bradley W. Barber: Yes. If you ask about geography, that's fairly broad-based. I mean obviously, in the Southeast, we have more petrochem than we do in maybe other regions. But aside from that, all of the project types, John is speaking about are fairly broad-based, and we're enjoying across our footprint. They're just going to continue to escalate. 
Brian Brophy: Okay. That's helpful. And then, I guess, on rental rates, obviously, things continuing to slow a little bit there. Just curious how you're thinking about expectations for the remainder of the year. 
John Engquist: Yes. Brian, as Brad stated, flattish to slightly up is really what our expectation is. Coming out of the gate in Q1 with utilization being a little bit softer year-over-year, it's always more challenging to get those rate increases in a lower utilization environment. But what we see moving forward with the large projects, we've spoken at depth on past calls about large projects with more aggressive pricing. And that's what we're beginning to see today and expect more of that in the back half of the year. So how is that going to translate into rate performance for us, we think that it's going to be flattish to slightly up. 
Operator: And our next question comes from Steven Ramsey from Thompson Research Group. 
Jonathan Pierce: It's Jon Pierce for Steven. As we think about slower kind of rate of growth right now, are you guys seeing any competitors maybe reducing price? Or maybe do you foresee any kind of irrational behavior in any areas on the pricing side, just to kind of gain business? 
Bradley W. Barber: Broadly, no, we're not. Look, what we've seen is -- and again, we spoke about on previous calls, broadly, we're seeing discipline without -- throughout the industry, and I think that's reflected in most folks' CapEx guidance for the year, and it will be interesting to watch how that continues to unfold for our peer group. But we see discipline. Discipline continues and discipline is what we expect. That being said, we have seen somewhat aggressive pricing on mega projects. Not completely surprised. There have been some isolated situations, but there are always projects we're going to walk away from. You just can't achieve 17% price improvement in 2 years and land every deal you would like to land. So as we've talked about it, we have a headwind that we're more concerned about regarding pricing. It's really related to megaprojects, these large projects that consume a large amount of products for an extended period of time. But broadly, we're seeing discipline and hope we continue to. 
Jonathan Pierce: Great. And on the lower CapEx side, does this mean that you guys are -- with the branch growth, are you populating these new branches with less fleet? Or is it just kind of a reduction in selling off fleet kind of equally amongst everywhere? 
Bradley W. Barber: Yes. No, a couple of things going on. We absolutely are not bringing less fleet to new locations. Our opportunity -- we stated 12 to 15 locations for the year, and I'll tell you, we've got a bias for the upside of that range. We've got nice momentum. We're selecting great markets, and we've got a lot of good activity where we're going to stamp out locations throughout the year that are going to serve us well for decades to come. And we're not -- we're certainly not bringing less inventory there. So we're going to bring their existing needs and grow them as we can. We're going to sell less out of our rental fleet this year than we did last in '23. So that's going to require less replacement capital. And we're moderating our same-store growth as we spoke about. We're very focused on returning and hopefully showing some level of leverage in our utilization in the back half of the year. I'd have to look again, but I think that delta in Q1 was something north of 300 basis points year-over-year. And as we sit here today, we're probably around 200 basis points. So we're closing the gap. We're going to -- we expect to continue to close that gap. And we hope to, and we plan to exceed and show some leverage and utilization in the back half of the year. 
Operator: [Operator Instructions] Seeing that there are no further questions at this time, I would like to turn the conference back over to Jeff Chastain for some closing remarks. 
Jeff Chastain: Okay. Operator, thank you. And if there are no more questions, we'll go ahead and conclude today's call. We appreciate everyone taking the time to join us today and for your continued interest in H&E. We look forward to speaking with you again. Thank you and good day, everyone. 
Operator: And this concludes the conference. Thank you for attending today's presentation. You may now disconnect. Have a great day.